Operator: Good day, and welcome to the Stoneridge First Quarter 2025 Conference Call. All participants would be in a listen-only mode. [Operator Instruction] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Kelly Harvey. Please go ahead.
Kelly Harvey: Good morning, everyone, and thank you for joining us to discuss our first quarter 2025 results. The release and accompanying presentation was filed with the SEC, and is posted on our website at stoneridge.com in the Investors section under Presentations and Events. Joining me on today's call are Jim Zizelman, our President and Chief Executive Officer; and Matt Horvath, our Chief Financial Officer. During today's call, we will be referring to certain non-GAAP financial measures. Please see slide two of the presentation for a more detailed description of these non-GAAP financial measures, and the appendix for a reconciliation of these non-GAAP financial measures to the most directly comparable GAAP measures. In addition, certain statements today may be forward looking statements. Forward looking statements include statements that are not historical in nature, and include information concerning our future results or plans. Although we believe that such statements are based upon reasonable assumptions, you should understand that these statements are subject to risks and uncertainties, and actual results may differ materially. Additional information about such factors and uncertainties that could cause actual results to differ may be found on page three of the presentation and in our Form 10 Q, which has been filed with the Securities and Exchange Commission under the heading Forward Looking Statements. After Jim and Matt have finished their formal remarks, we will then open up the call to questions. And with that, I will hand the call over to Jim.
Jim Zizelman: Thanks, Kelly, and good morning, everyone. Let me begin on page four. In summary, we delivered strong performance in the first quarter, including operating margin improvement across every single one of our segments, overall adjusted gross margin improvement of 210 basis points, and adjusted EBITDA and cash performance that soundly exceeded our expectations. MirrorEye revenue increased by an impressive 24% relative to the fourth quarter of 2024, driven by strong sales in the bus market, and the continued ramp up of our previously launched OEM programs, where we are benefiting from the system becoming standard equipment on several additional truck models. MirrorEye continues to be a strong growth driver for Stoneridge as the system continues to gain momentum through our OEM programs, as well as through continued expansion in our aftermarket applications. And as I mentioned previously, adjusted gross margin improved by a healthy 210 basis points in the first quarter, driving adjusted operating and adjusted EBITDA margin expansion. This progress was a result of success across our key operational priorities as we continued to focus on material cost improvement, where we achieved a strong 220 basis point reduction, and reduced quality-related costs, which resulted in a $2.5 million improvement relative to the fourth quarter of last year. We are also seeing success in improving our cash performance as well, driving working capital reductions through continued management of our inventory. This resulted in free cash flow of approximately $4.9 million, an increase of approximately $1.5 million versus the first quarter of the prior year. We are very proud of the progress we have made in reducing our inventory, which has resulted in a $28 million reduction over the first quarter of last year. Matt will provide further details on our financial and cash performance later on the call. Over the last several months, tariffs have been the focal point of discussion globally and certainly in our industry. There has been significant volatility in the details around the application of U.S. imposed tariffs and the corresponding reciprocal tariffs, creating uncertainty in the overall market and the transportation industry. Stoneridge is well-positioned with our global manufacturing footprint, and a supply chain strategy is currently in place to mitigate the impact of potential tariffs. During the first quarter, we saw very little direct impact of tariffs. However, we continue to develop and implement mitigation strategies to further offset potential tariffs that have been either discussed, or are scheduled to be implemented. Our long-term operational improvement strategies are paying off, and we are proud of the resulting strong performance in the first quarter. As always, we will continue to monitor and to respond efficiently to market changes, and manage the business accordingly to drive earnings and cash performance. We are taking a deliberate and thoughtful approach for the remainder of the year. And given our outperformance in the quarter, we are maintaining our previously provided full-year guidance. Matt will provide more details on our expectations for the remainder of the year later in the call. On page five, summarizes our key financial metrics for the first quarter of 2025 compared to the fourth quarter. Stoneridge-specific growth drivers, including a record sales quarter for the SMART 2 tachograph and MirrorEye, a 60% growth in our local OEM business in Brazil, and our higher sales for our North America passenger vehicle customers fully offset lower production volumes in the commercial vehicle end markets and lower off highway sales. As a result, and as expected, first quarter revenue was in line with the fourth quarter of the prior year. Driven by continued strong progression on key company initiatives and our longstanding focus on operational excellence, margins continued to expand in the first quarter. SRI's focus on material cost improvement actions, continuous improvement and manufacturing performance, and companywide efforts on reducing quality-related costs contributed to the 210 basis point improvement in adjusted gross margin over the fourth quarter of last year. We've redoubled our efforts to focus on built-in quality, responsiveness, and proactive processes to address any quality issues, and expect continued progress in quality-related costs going forward. First quarter operating income improved in all of our segments, relative to the fourth quarter of 2024, resulting in a notable overall adjusted operating margin improvement of 160 basis points. Higher SG&A, primarily due to the normalization of incentive compensation to annual targeted amounts was offset by improved operational performance and continued structural cost control, including reduction of engineering expenses as we continue to focus on the globalization of our engineering organization. First quarter adjusted EBITDA of $7.6 million or 3.5% of sales improved by approximately $1.6 million or 80 basis points, compared to the fourth quarter. Overall, we significantly improved our operating margin performance in the first quarter, both in total and at each of our segments, as Matt will discuss in more detail again later in the call. Now, turning to page six; as discussed a bit earlier, we saw very little direct impact of tariffs in the first quarter. Our primary exposure to tariffs is related to products manufactured in our facility in Juárez, Mexico, and sold to U.S. Customers for U.S. consumption. It's important to note that currently approximately 91% of our product sales from Mexico are exempt from tariffs as they are USMCA-certified. For the remainder of our products that are not USMCA-certified or potentially exposed to the next round of non-U.S. content-based tariffs, we have already notified customers that we will be issuing price increases related to any incremental costs we incur related to these tariffs. In fact, we have already secured, or we are well down the path of securing price increases, including payment for previously incurred tariffs to help offset our current tariff exposure. Similarly, we are working with our current customers to increase the number of USMCA-certified products by adding qualifying content to offset any tariff exposure that is under our control. We have successfully addressed most of the complexities in component purchases to the strength of our current supply chain structure. In response to tariffs, we are utilizing previously-established methods, and have already recently implemented strategic sourcing and shipping actions to limit the impact of tariffs on components. And as a result, we expect that our manufacturing footprint and supply chain strategies will allow us to mitigate the majority of the direct impact of tariffs. The overall impact on consumer demand and production volumes remains a bit uncertain as the market continues to respond to the volatile tariff environment. However, through strong communication and transparency with our suppliers and our customers, we are confident in our ability to implement mitigating actions to limit the impact of current or future tariffs on our financial results. Additionally, Stoneridge has a relatively higher exposure to the domestic three OEMs rather than foreign OEMs, which we believe could benefit us in this environment. We will continue to monitor shifts in macroeconomic policies and the impact on our business to ensure that we act quickly to offset any incremental costs as we have done historically. And with that, I will turn it over to Matt to discuss our financial results. Matt?
Matt Horvath: Thank you, Jim. Turning to page eight; sales in the first quarter were $217.9 million, approximately in line with our expectations. First quarter adjusted EBITDA was $7.6 million, resulting in a $1.6 million improvement relative to the fourth quarter of last year, exceeding our previously outlined expectations. As Jim mentioned earlier on the call, we are maintaining our full-year guidance ranges based on our first quarter outperformance and run rate margin improvement, as well as our original relatively conservative assumptions related to vehicle production volume. In the recent weeks, third-party production forecasts have significantly reduced full-year production volume expectations, primarily in the back-half of the year. However, based on our original conservative assumptions for our full-year guidance, as well as the current short-term production forecast provided by our customers, our expectations have not been significantly impacted. Even considering the most recent external production forecast, we expect to perform within our previously provided EBITDA guidance range. Consistent with the outperformance we saw in the first quarter, we expect continued progress on our material cost improvement initiatives, and quality-related costs for the remainder of the year. We will continue to manage structural costs and make adjustments as necessary to align our operating structure with current market conditions. We expect our revenue and EBITDA cadence for the year to be relatively consistent with previous expectations. We expect the second quarter performance will slightly increase compared to the first quarter. We expect continued expansion of MirrorEye sales in the second-half of the year, primarily driven by the continued ramp up of new programs to substantially offset production volume headwinds. As a result, we expect revenue to be approximately evenly split between the first and second-half of the year. We expect continued EBITDA margin performance as a result of the actions we are taking to improve gross margin and manage structural costs. As a result, we expect EBITDA to be slightly more back-half weighted as these actions compound. Overall, we delivered a strong first quarter, which exceeded our expectations across all of our key metrics. Page nine summarizes our key financial metrics specific to Control Devices. Control Devices first quarter sales of $69.9 million, increased by 10.6% relative to the fourth quarter of the prior year, primarily due to higher production volumes for our North American passenger vehicle customers. Control Devices significantly outperformed its underlying end markets, including the North American passenger vehicle end market that grew by just 3.9%, primarily due to production tailwinds for our specific customers and our mix of vehicle programs. First quarter adjusted operating income of $1.5 million improved by 470 basis points, compared to the prior quarter, primarily as a result of higher sales, lower quality-related costs of approximately $800,000, and lower engineering spend due to recent actions taken to streamline the engineering function. This represents a 46% contribution margin on $6.7 million of incremental sales in the quarter, as we continue to focus on executing on our key priorities for the year, and managing the variables that are in our control. We expect continued volatility in our end markets as uncertainty remains related to the market's response to tariff policies. However, there could even be opportunity to outperform our end markets as international OEMs adapt to new tariff policies that should favor domestic OEMs selling in North America, which are our primary exposure. We will continue to focus on the things we can control, including advanced and new product development, commercial expansion, and improvement in material costs and manufacturing performance. Page 10 summarizes our key financial metrics specific to electronics. As expected, first quarter sales of $140.5 million were slightly lower than sales in the fourth quarter. Stoneridge-specific growth factors continued to offset production volume headwinds. More specifically, MirrorEye set a record for quarterly sales, which grew by 24% relative to the fourth quarter of 2024. This was primarily driven by the ramp up of recently launched OEM programs and incremental sales in the global bus market. Additionally, our SMART 2 tachograph set our second consecutive quarterly sales record, driven by continued strong demand. We remain confident that Stoneridge-specific growth drivers, including MirrorEye and our SMART 2 tachograph, will drive market outperformance going forward. First quarter adjusted operating margin expanded by approximately 130 basis points compared to the fourth quarter of the prior year. Included in our operating performance was a $1.8 million improvement in quality-related costs. We expect that our continued focus on built-in quality and rapid response and mitigation of quality-related issues will result in continued improvement in 2025. We continue to expect revenue growth for electronics in 2025, primarily driven by the annualization and launch of MirrorEye OEM programs, and continued strong performance with our SMART 2 tachograph applications. We expect to continue to drive improvement in material costs and quality-related costs throughout the year. As a result, we are expecting continued positive margin progression in 2025 as the impact of our key initiatives mature. Page 11 summarizes our key financial metrics specific to Stoneridge Brazil. Stoneridge Brazil's first quarter sales totaled $14.4 million, which represents an increase of $2 million, or approximately 16% growth relative to the fourth quarter of last year. This increase was driven by higher local OEM sales, which consistent with our strategy focused on local OEM growth, expanded by $2.6 million, or over 60% relative to the fourth quarter. We remain focused on expanding our local OEM business to grow our presence in Brazil, and unlock global opportunities with our global customers. First quarter operating profit improved by 320 basis points or $500,000 relative to the fourth quarter of 2024, primarily driven by improved fixed cost leverage on incremental sales. We expect stable revenue and margins in 2025 as we continue to shift our portfolio in Brazil to more closely align with our global growth initiatives and further expand our local OEM programs to support our global customers. Brazil remains a critical engineering center, which we will continue to utilize and grow to cost effectively support our global business. Turning to page 12, in the first quarter, we generated $4.9 million in free cash flow, an improvement of $1.5 million relative to the first quarter of 2024. We continue to focus on inventory management, which has resulted in approximately $28 million of improvement over the last year. As we remain focused on our key working capital initiatives, we are expecting continued improvement throughout this year. Net debt to trailing twelve month EBITDA, as calculated for compliance purposes, was just under four times. We remain confident the company has ample liquidity and flexibility to operate in the current macroeconomic environment. We are maintaining the previously communicated targeted compliance net debt to EBITDA leverage ratio of two to 2.5 times by the end of the year. With that, I will turn it over to Jim for closing comments.
Jim Zizelman: Thanks, Matt, and turning to page 13. In summary, our strong first quarter performance was driven by continued progression across each of our key priorities for 2025. As evidenced by the progress made so far this year, this team is laser focused on executing on our key priorities to drive strong growth, continued margin improvement and an improved balance sheet. We remain focused on building a strong foundation for continued earnings expansion as we capitalize on our impressive portfolio of advanced technologies. We will continue to focus on overall operating cost improvement and operational execution to drive strong contribution margin and focus on inventory reduction to improve our cash position and reduce our leverage profile. We are quite confident in our ability to navigate global trade policies and implement mitigating actions to limit the impact of tariffs on our performance. We will continue to focus on addressing the things we can control and reacting efficiently and effectively to conditions that are not in our control. Stoneridge remains well positioned to continue to outperform our underlying end markets resulting in long-term shareholder value. And as always, driving shareholder value is at the forefront of all of Stoneridge's strategic initiatives. And with that, I will open the call to questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from the line of Daniel Imbro with Stephens. Please go ahead.
Daniel Imbro: Hey, good morning guys. Thanks for taking the questions.
Jim Zizelman: Good morning, Daniel.
Daniel Imbro: Maybe, Jim, I'll start on the electronics kind of momentum. It's really good to see MirrorEye and SMART 2 both accelerate. Can you maybe just unpack a little bit more detail what improved, kind of how that trended versus your expectations for the improvement this year? And as you think about the margin, Matt, I think you mentioned sales and margins should ramp through the year. Any way to help frame up the amount of increase we should expect Office 1Q margin?
Jim Zizelman: Daniel, first off, thanks for the question, and thanks for joining us this morning. Yes, the improvements that we saw here in the first quarter of 2025 really springboard from a lot of what we were talking about after the fourth quarter call. We obviously are now ramping up quite significantly our launch with Volvo in Europe, right? That's really taking grip and there's a lot of traction there. We've talked a lot about the application of the product as standard equipment on additional models, right? So, that's providing some additional opportunity for us, and we're seeing that in the sales. And we also are seeing in the aftermarket, especially in the bus market, a lot more interest and a lot more applications happening throughout both North America and Europe. So, all of those things really led to where we are today. And we do expect as we go forward through the remainder of the year, as we launch here in North America with Volvo and its related brands as well as with Daimler Truck North America, we will expect to see those begin to take the same kind of pathway that Volvo in Europe did in terms of implementation and acceptance of the product. So, we're really quite bullish on the sales for MirrorEye going forward for sure.
Matt Horvath: Yes. On the margin side, Daniel, I would say typical contribution margin is kind of 25% to 30%. I would expect that some of the initiatives we've talked about this morning on the material cost side and the quality side continue to ramp as we go through the year, like we talked about some of those initiatives mature. But I would expect kind of a linear progression of margin as we move through the year with a pretty strong run rate obviously at the end of the year.
Daniel Imbro: Great. That's some helpful color. Maybe shifting to the tariff discussion, Jim, I think you mentioned direct costs are pretty limited, maybe the risk is more on the demand side or the ripple effect. Just curious what you're hearing from your auto customers. I know you're exposed to the big three, but you're plugged into the industry. Like what are you hearing in terms of actual impacts on demand out there, if anything yet?
Jim Zizelman: Yes. So, first off, relative to tariffs, maybe I'll speak first to the recent announcements made by the President. We think that that is helpful in general for the automotive industry in that it gives some relief to the automakers. For the auto parts folks, it wasn't too impactful other than the fact that there was an elimination of the stacking of tariffs. There can be multiple ways that tariffs can impact tier ones in the automotive industry, whether it be through steel and aluminum tariffs, the emergency tariffs called IEPA or the direct auto what they call the auto tariffs or the auto two-three-two tariffs. And they can't stack any of those anymore. And before they were all stackable, so it looked a little daunting. That is now gone. And the fact that we have most of our products, as I said in the call, as USMCA-compliant, those are still exempt from tariffs, and at the moment, there is no expiration of that exemption. There's no expiration date that is published. So, we are pretty free from that. Relative to our customers, we've had fairly robust orders actually through the first quarter. And we are now beginning to see some changes in that. But at this point, we would still call it not that significant coming from our customers. But of course, we have a keen eye on that. We are engaged with these guys regular basis. And we would take any mitigating action necessary if those kinds of projected volumes were just start to have some substantive decline.
Daniel Imbro: Great. And then, maybe last one -- [multiple speakers]. Yes, that does. That's helpful. If I could squeeze one in the balance sheet, Matt, inventory coming down nicely, continues to drive a working capital benefit for cash flow. I just would love to hear your thoughts around as we return to overall growth in the industry, maybe in 2026 and beyond, I guess, how sustainable are these improvements? Can we continue to grow can we grow revenue with inventory levels? Do we need to add inventories? How should we think about the sustainability of the working capital benefits here?
Matt Horvath: Yes, great question, Daniel. This has been one of our focuses obviously the last year. We've been really successful in reducing inventory balance. Like you heard in the prepared remarks, inventory balances have come down almost $30,000,000 over the last year, so really good progress there. But what I would tell you is there's more to go. If you look historically at our inventory turns, we should be at least high single digits. We're kind of mid single digits trending in a good direction now, but we should be high single digits. Some of our facilities have even been over 10 historically, which is I wouldn't say best in class, but certainly better than average for our peer set. So, there's still more work to do there, so I think there's still opportunity to improve inventory even as we grow. And I think it's sustainably improved as well. So when we start growing, I think you'll see inventory turns hold at those levels as we pick up volume. So, still more work to do this year, which obviously we're on a good track with good momentum. And I think that that will be sustainable even as the overall industry returns to growth here as we navigate some of the volatility in the short-term.
Daniel Imbro: Great. Thanks for all the detail this morning, and best of luck, guys.
Matt Horvath: Thanks, Daniel. I appreciate it.
Operator: Next question comes from the line of Gary Prestopino with Barrington Research. Please go ahead.
Gary Prestopino: Hey, good morning all.
Jim Zizelman: Hey, Gary.
Gary Prestopino: Matt, can you maybe address issues related to quality-related items. I was looking at what you did in Q4. You had an impact. Was there any real big impact here in this quarter? Or do you think that you've got that situation under control and it shouldn't come out as a one time hit to expenses going forward in any of the quarters, in the remaining quarters in 2025?
A - Matt Horvath: Yes, Gary, good question. Obviously, quality-related costs is something we've focused on specifically over the last couple of years. We have made a significant amount of progress there. Like you heard in the prepared remarks, both control devices and electronics had a significant improvement over the fourth quarter in their quality-related expenses. Total company was $2,500,000 down in quality-related expenses from quarter to quarter. Those quality-related costs, you're always going to run into issues, right? For us, it's built in quality, which is you're seeing an overall reduction of quality-related expenses, but it's also speed and efficiency in addressing any quality issues that come up. And that's where we've really made a lot of progress. So, we're limiting any of the issues that we have, which are normal in our industry. You've always got some level of quality back and forth, but we've done a really good job limiting those peaks and valleys and building in better quality with our kind of consistent global processes to improve the baseline. So, I don't think anybody would ever tell you you'll never have another quality-related issue. I think we've done a good job of putting processes in place to limit any of those issues that may come up. So, I won't tell you you'll never have a quality-related expense again. Think that would be silly, but I can tell you that the processes we have in place are driving a significant improvement in both the baseline and our response to those issues.
Gary Prestopino: Okay. I mean, so, you can see in the quarter, significant improvement in the quarter here?
Jim Zizelman: Yes, it's really moving fast on anything that does come up, and it's working just elbows and everyone working hard to drive quality into the product that we're developing and bringing into production. There's got to be a key focus there. There's got to be appropriate processes there that are proactive to eliminate quality before it becomes a problem, either in the plant or in the field. And that's the most important thing, because that puts you at a strong foundation for good quality and being sure that you'll have very, very few big problems in the future. Now, for us, obviously, we've redoubled those efforts, as I said in the call, and we're truly focused on that. We feel very good about what we're doing. But we also have adjusted our processes so that we act with great speed if anything starts to crop up that we have to really go and address.
Gary Prestopino: Okay. Thank you for that. And then, in terms of what's going on with tariffs, which it'll probably change today somewhat, another major announcement here. With what you're doing in Europe with MirrorEye, is that production of MirrorEye products coming being shipped from The US into Europe or are you able to produce it in Europe as well?
Jim Zizelman: No, that's produced in Europe.
Gary Prestopino: Okay. So, and is your tachograph product produced in Europe as well?
Jim Zizelman: Tachograph is produced in Europe. Yes, sir.
Gary Prestopino: Okay. So, there's no issues there with the tariffs then. Okay. Just a couple of more questions, last quarter, you talked about MirrorEye revenue almost doubling to $120,000,000 this year. Has there been any change in that outlook?
Matt Horvath: Yes. So, Gary, I would say no change in the outlook right now, but obviously, we're very pleased with the start we've gotten to in the year here. The Volvo program in Europe in particular has had really good volume. We're on a really good track with our existing programs. Like you heard in the prepared remarks, we're really proud of the bus applications, the global bus applications, both really in Europe and overall North America. So, we're making good progress on the aftermarket side, bus and fleet. We're making really good progress and we're seeing good volume on the OE side with launch programs. I think all of that suggests good momentum with the programs that we expect to launch this year in North America and some nice volume there. So, overall, really good start to the year. Obviously, we're still early in the year, but really good start to the year with the things that are already in the market, we're looking forward to our two launches here in North America to continue that trend here as we ramp them up here in the second-half.
Gary Prestopino: Okay. And then, just lastly, the connected trailer suite of products, still working on that, you still think you're going to be getting some of these out in 2025 followed by significant expansion in 2026?
Jim Zizelman: Yes, that program is actually going quite well. And a lot of the various trade shows that we go to, including CES and TMC and so forth, we've been really showing further expansion in the capability of connected trailer. So, customers are very excited about that. And in a very small way, we do expect to see some of that here at the very tail end of 2025. More in the evaluation mode by customers, where they're going to have a few here and there where they start to evaluate how deeply they want to go, what kind of features they really want to have on this, but really getting it out there and making use of that Stoner specific connectivity innovation that allows it to be so quickly applicable in the market.
Gary Prestopino: Okay. Can I just get one more in and then I'll jump off?
Jim Zizelman: Sure.
Gary Prestopino: Mark, you mentioned that, and I've seen these numbers, I mean the IHS numbers are all over the place, at least what I've seen, you know, a lot of these prognosticators have put out a range, and the ranges, the high end is where they were for the year, the low end is their new targeted number. Relative to where the new numbers are in terms of unit production, are you with your assumptions for 2025, are you still below some of those assumptions? I mean, you said you went into the year with very conservative projections, so I'm just trying to get an idea of where you are relative to where maybe some of these new estimates are coming out at.
Matt Horvath: Yes, Gary, good question. Obviously, there's a lot of volatility, in the production forecast space right now. You know, like Jim said, from our customers' perspective, we're not seeing any real significant short-term impact, you know, variation in production, I would say. We obviously are looking at the range of potential outcomes, and like you mentioned, it's pretty broad. We feel comfortable that with, I would say, we're within that range from our original expectation. Our original expectation wasn't quite as low as the low end of the range is now, but we feel comfortable that even within that range, high to low, we can still maintain the guidance for the full-year. So, obviously nobody's got a crystal ball, like you said, the potential of outcomes here is pretty broad, But we feel very comfortable that we can still fall within our guidance, you know, even within that very broad range.
Gary Prestopino: Okay, thank you very much.
Operator: This concludes our question and answer session. I would like to turn the conference back over to Jim Zizelman for any closing remarks.
Jim Zizelman: Thank you everyone for joining us for the call. I know your time is very important and as always, we truly appreciate your willingness to engage us today. We are operating with an unrelenting focus on our key priorities, driving significant earnings expansion as we grow. We will continue to deliver on our commitments by focusing on long-term strategy, quality improvements and material manufacturing cost reductions, all while maintaining a clear focus on market dynamics and making any necessary mitigating actions. We expect that our performance, along with our unique mix of industry changing product platforms, will continue to drive strong shareholder value. Thanks again, everyone.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.